Amanda Blanc: Good morning, everyone, and thank you for joining us for our Full Year 2024 Results Presentation. So as always, I’ll give you a brief update on our performance before Charlotte takes you through the results in more detail. Then I’ll cover the strategic progress that we are making, and we’ll finish with an opportunity for questions. As you can see, we’re off site today because our usual space at 80 Fenchurch Street is being reconfigured, but we will be back there next time. So let me start with the key messages. Today’s numbers once again demonstrate that we have delivered what we said we would, increasing the momentum built up over the last 4.5 years. We’re extending our track record of performance with consistent year-on-year growth and strong and reliable earnings and we are delivering for our shareholders. But we are not stopping here. The proposed acquisition of Direct Line presents a clear opportunity to further accelerate our strategy and ambition. And as I say, time and time again, there is so much potential for us to go after. And I have real confidence in our ability to unlock this and to deliver the next phase of Aviva’s growth. So let’s get into the results. As you can see, we’ve had another excellent year. We are growing right across the group. We are delivering for customers with more people turning to Aviva to protect their future, and we are serving more of their needs with a better experience. We are also well on track to hit our 2026 targets. Both operating profit and underlying own funds generation are up double-digits with stronger cash remittances. Finally, we continue to deliver for our shareholders. Today, we are announcing a final dividend of 23.8p per share with our total dividend per share up 7% year-on-year. These results are only possible because our colleagues believe in what we are doing. They can see the impact that we have on 20 million lives, and their insistence on doing the right thing for customers is the driving force behind our success. So a very big thank you to the whole Aviva team. They are the best at what they do. Underpinning these results is our powerful diversified model. We’ve shown once again that it is working with strong growth in all our businesses. In U.K. and Ireland General Insurance, Jason and the team delivered 16% growth. We have expanded with large wins in Global Corporate and Specialty and Commercial Lines, and we’re continuing to power our personal lines. In Canada, Tracey and the team have delivered double-digit growth and supported customers to a challenging CAT season with a leading claims net promoter score. And in insurance, wealth and retirement Doug and the team are taking the business from strength to strength, posting impressive growth across the board. In wealth, we hit £50 billion of assets on the adviser platform, extending our number one U.K. wealth position with nearly £200 billion of assets. In Protection & Health, we are growing strongly and profitably with protection sales at 42%. Finally, in retirement, we delivered record bulk purchase annuity volumes with continued support on asset origination from Mark and the team in Aviva Investors. This meets [Technical Difficulty] ambition of £15 million to £20 billion of BPA volumes over 3 years. Now, let me touch on the proposed acquisition of Direct Line. We are really excited about what Aviva will bring to this business and what we can achieve together. The transaction will create a leader in U.K. personal lines, accelerating in capital light and bringing the best of Aviva to millions more customers. So rationale is just as attractive. We will deliver £125 million in cost synergies that is over and above BLG’s existing commitments, and we will unlock material capital benefits over time. This will enable us to further enhance shareholder distribution. So we have set up our integration office, and there was already significant work underway to make sure that we hit the ground running from day 1, and we look forward to sharing more detail with you in due course. So before I hand over to Charlotte, I want to take a moment to look back and reflect on just how far we’ve come. For the last 4.5 years, we’ve transformed Aviva. We have built a clear track record of execution, delivering on our promises to our customers, our people and of course, to our shareholders, returning £10 billion of capital. This has established Aviva as the U.K.’s go-to diversified provider for insurance, wealth and retirement. But this is not our finish line, not by a long shot, there is still so much more to go after, and we are confident and excited about the next phase. So that’s a high-level view. I am now going hand over to Charlotte, who will take you through the results in more detail.
Charlotte Jones: Thanks, Amanda and good morning, everyone. I’m delighted to present another set of great results. At Aviva, we’ve built a consistent track record of growth momentum and increasing profits. And this continued in 2024 with another year of strong performance as demonstrated across the key metrics. Operating profit was up 20% to nearly £1.8 billion and underlying own funds generation or OSG, was up 18% to £1.5 billion. As you may recall, OFG in 2023 benefited from the impact of the partnership extension with Diligenta and FNZ. Therefore, and as expected, total OFG was 4% lower in 2024. Operating capital generation known as OCG was up 1% and or 17% on an underlying basis. This supported increased cash remittances of £2 billion. Return on equity was a healthy 13.6% on a Solvency II basis, aligned to how we run the business. And our capital position was a strong 20%. The trading across the business unit continues to show real momentum. We achieved double-digit growth in GI premiums, in IWL sales and in wealth net flows. And the combined ratio, often referred to as core remains broadly consistent with the prior year, a great result given the extreme weather events experienced in Canada in Q3. So I’ll start my run through of the businesses by looking at general insurance across the group, where our positive track record continues. In the last couple of years, we’ve delivered 12% annual premium growth. And over the same period, we’ve achieved margin expansion from a 1.5 point improvement in the underlying core. In the higher interest rate environment and with a bigger book of business, investment returns increased as well. So together, these have resulted in a material uplift to operating profit, which has now reached almost £1 billion. Looking forward, we remain focused on pricing appropriately to maintain a strong rate adequacy of the book. And we expect continued improvement in the combined ratio subject, of course, to normal weather conditions. So I’ll now unpack the details of the GI businesses, starting with U.K. and Ireland. Premiums were up 16% to £7.7 billion overall, with 22% growth in personal lines and 12% in commercial. Three quarters of Personal Lines growth came from new business, mainly in retail, which now makes up the majority of the portfolio. Pricing actions drove the remainder of the growth, commercial lines, including Probitas, which includes Probitas, which has been part of the group since early July. And in our 6 months of ownership, we have written £117 million of premiums at mid-80s core and expect this business to grow further. Now this includes 20% of the total amount – sorry, this excludes 20% of the total amount written by Probitas as some capital was provided by third parties, and we’ll look to fully align this going forward. The U.K. and I undiscounted core was 94.9%, almost 2 points better than 2023. This reflects the benefits from pricing actions taken in 2023 as well as the mix shift towards that higher-margin retail business. Prior year development or PYD was about 1 point adverse largely in line with the first half, reflecting some strengthening of reserves in Commercial lines, partly offset by personal injury reform in Ireland. These impacts alongside higher investment returns, gave an impressive 57% increase in operating profit. Premiums grew strongly in Canada as well, up 11%. Personal Insurance was up 13%, around three quarters of which came from pricing action, including double-digit increases in Ontario motor. Commercial was up 7%, more evenly split between pricing and new business. And we also achieved good levels of new business growth across auto, property and in GCS. The core of 98.5% reflects the impact of severe weather in Q3 from the four large catastrophe events or CATs. Our loss impacts are in line with our market share in the affected areas. And to give you some idea of the scale of these events, 2024 is the worst insured year for Canadian weather on record. With over CAD 8.5 billion of losses, around 4 points adverse to long-term averages. And while PYD remains positive at 2.7 points it was less beneficial than in 2023. And commercial lines experienced a more normal loss profile when compared to the favorable previous year. And so as a result, operating profit was lower at £288 million. But importantly, the underlying call was more than 1 point better due to the benefit of pricing actions and improvement in Auto test, which has been closer to long-term averages. So I’ll now move to IWR. Overall, we’re growing operating profit and at the same time, building the store of future profits on the balance sheet in the contractual service margin known as you’ll recall last year, I spoke to you about the accounting mismatch that impacts the way assumption changes are reflected in operating profit. So it’s important to look through this to see the trend of 8% operating profit growth. Releases from the CSM have been growing annually at around 13% and are by far the most material contributor of operating profit for annuities, protection and heritage. At the same time, due to the growing business, the CSM has increased 9% in to £7.8 billion, even after taking into account the releases. This is building more value, which will translate into greater operating profit in the future. And it’s important to note that the accounting rules of IFRS 17 means that the CSM doesn’t include the future value of our wealth and health businesses, both of which also have highly attractive profitability growth profiles. I’ll now run through more detail business by business, starting with Protection & Health. Protection sales were up 42%, following completion of the AIG acquisition in April. Excluding AIG, sales were 5% lower, reflecting market contraction in individual protection. Protection operating profit was up 26% reflecting a higher opening CSM following 2023 portfolio growth, the inclusion of AIG and improved mortality experience. In-force premiums in the health business were up 10% from strong new business and pricing actions. An operating profit of £66 million includes a 30% improvement for the second half from the earn-through of pricing, better claims experience and some seasonality. This was achieved at low 90s core, as previously indicated. And we continue to invest in the business and remain confident in the ambition for £100 million of operating profit by 2026. So now let’s go to Wealth, where we are the largest player in the U.K. and have reached almost £200 billion of assets under management. Net flows represented 6% of opening AUM for the third year in a row, clear proof of the resilience of the business. Workplace inflows grew 16% and but outflows were a little elevated, particularly in Q4 and made speculation of tax changes ahead of the autumn budget. Net close to the adviser platform were up a very strong 69% as our attractive proposition shows good performance and increased demand. We continue to invest in direct wealth, and I’m pleased to see net flows almost trebled following the relaunch of the proposition. Our investment has increased by £15 million, and we expect the impact of this investment cost on profitability to have peaked 2024. Overall, wealth operating profit grew 29% to £129 million as we work towards our ambition of £280 million by 2027. The last segment to cover is retirement, where we wrote £7.8 billion of high-quality bulk purchase annuities or BPA. This brings the volume to £17.7 billion across 3 years, completing of £15 million to £20 billion ambition. The new business remained self-funding and had a higher proportion of gilts than usual, given the yield relative to corporate credit. This has led to an efficient capital strain for the volumes written below our typical guidance of 3% to 4%. And really strong IRRs in the mid-teen percentage range, up from the usual low teen guidance that we give. Our focus going forward is unchanged, generating strong returns on the amount of capital allocated to the business. And therefore, we expect similar BPA volumes of £15 million to £20 billion again over the coming 3 years. Individual annuities were up 15% in the higher rate environment, while the equity release market has contracted further. New business margin for retirement was a strong 3.2% and business was supported by high-quality illiquid assets of £3.2 billion sourced by Aviva Investors with no asset gap remaining at the year-end. Operating profits for retirement improved by 14%, reflecting the higher opening CSM and improved investment returns. OFG was lower as the prior year included material longevity releases which didn’t repeat in 2024. So that concludes the detail on the business. I’d now like to take a moment to remind you of our capital allocation and performance management framework. And this is a slide that I come back to each time we speak to frame my comments. There’s clear evidence from our results that we are delivering sustainable growth in earnings and cash, which is the first tile on this slide. When combined with our balance sheet strength, this gives us the firepower to execute across the rest of the framework, growing the regular dividend, investing in the business to drive efficiency and growth both organically and through M&A and returning capital to shareholders. And the examples on this slide demonstrate the framework in action. And illustrate the strength of our performance culture and grip. All of this enables us to work our diversified business model to deliver great results. So, turning to the balance sheet, which remains strong with a cover ratio of 203%, we generated 15 points of operating capital over the year, and you can find the slide showing the full solvency development in the appendix as usual. Our asset portfolio, which is defensively positioned, continues to perform well, and our leverage ratio has reduced to 29%, in line with our preference to operate below 30. Our consistent performance and financial strength has allowed us to do some compelling M&A at attractive returns. And the DLG transaction, which will close around the middle of this year, will enable us to upgrade our dividend policy. So we’ll go through all the details again, but there are a few points worth reemphasizing. The dividend cash cost for 2025 will continue to grow by mid single-digits, reflecting the organic growth in our business. In addition, there will be a mid single-digit uplift in the 2025 DPS following completion of the deal. So shareholders will receive two mid-single-digit increases in DPS. And this combination will more than offset the impact on DPS from pausing the share buyback this year. And of course, we will continue to grow the cash cost of the dividend by mid-single-digit each year thereafter. And we expect to return to our cadence of regular and sustainable returns of capital in 2026. And when we do that, we intend to increase the size of the buyback to account for the higher share count. So bringing all this together, our capital profile is now even more attractive. And we couple this with a clear profitable growth expectation. We expect to achieve across the group, we are building a truly compelling proposition for investors, and Amanda will come back to this shortly. As part of the capital allocation performance framework, we made deliberate and disciplined investment decisions to drive profitable growth. This builds further scale in our core markets ensures we have the people and frontline roles to serve our growing customer base and enables automation and AI solutions to assist our workforce and enable them to be more efficient. As we have made these investments, the operating jaws have widened. Growth in operating profit was double the growth in controllable costs. So to assess the performance, we focus on efficiency ratios of the businesses. In general insurance our distribution ratio improved by just under a point, reflecting the retail growth in personal lines, continued automation and scalable operations. In IWR, the AIG acquisition increased controllable costs, but with limited impact to assets. So excluding this, asset growth drove a small improvement to the cost asset ratio, and we continue to focus on efficiency and simplify our operations through the partnership extensions announced last year, which are progressing really well. In Aviva Investors, growth in AUM and cost efficiencies, have led to a 5-point improvement in the cost/income ratio. And we are making good progress on efficiency across the group, but there is still more to go after. This time last year, we upgraded our group financial targets. And clearly, the Direct Line transaction will result in a material change to the group financial results. We’ll give you more details of what that means for our targets post completion, where we expect to refresh current targets to take into account the bigger group. In respective of that, though, we remain very confident in delivering the stand-alone group targets we have set. Our target for £2 billion of operating profit by 2026 translates to an annual EPS growth of around 12% from earnings growth and a shrinking share count. And we remain on track for £1.8 billion of OFG by 2026 absorbing a headwind of around £100 million from Solvency U.K. reform, which changed the transitional runoff shape from 2025 onwards. We have also met our existing ambition for a 12% return on equity and delivering our OFG target is expected to further – should result in a further improvement of more than 3.5 points, which would take us to mid-teens return on equity. And finally, we are targeting the £5.8 billion of cash remitted so more than £5.8 billion of cash remittances over the period ‘24 to ‘26. The cash component of the DLG transaction will be funded from internal resources and remittances related to the transaction will be considered special in nature and be reported outside and in addition to the usual amount. So to sum up, it’s been an excellent year for Aviva once again. Aviva continues to grow is financially strong, and we have a firm grip on performance management and our use of capital. With that, I’ll hand back to Amanda.
Amanda Blanc: Okay. Thanks, Charlotte. Now as always, I’m going to cover the strategic progress that we’re making, and I’ll start with the five reasons why we think Aviva is a great investment. First off, with the U.K.’s go-to diversified insurer with a majority capital-light portfolio. We have the benefit of geographic diversification with material businesses in Canada and Ireland. Nobody in this market can replicate our successful model. Second, we have a consistent customer-centric strategy with investment in the future and it’s delivering. Third, we have strong organic growth in all our markets, accelerated with targeted and strategic M&A. Fourth we have a track record of delivery with a reputation for execution built over the last 4.5 years. And finally, we deliver superior returns for shareholders. And as you’ve just heard from Charlotte, we will be further enhancing distribution with the acquisition of DLG. So let me elaborate on each of these points, focusing particularly on strategy and growth in particular. So I’ll start with our unique model, which gives us a competitive advantage. As you know, we refocused our portfolio in my first 2 years as CEO. Today, we have a diversified but focused portfolio with complementary businesses. We are operating at scale with leading positions in all our markets. And we have the crucial advantage of our customer franchise with more than 20 million customers. Because of the breadth of our product offering, we are uniquely able to look after those customers throughout all of the key moments in their lives. Nobody else can do this. Now I know that many of you will have seen this slide before, but it is actually important because it truly sends at the power of Aviva. From a Junior ISA, insurance on your first car, your workplace pension with auto enrollment, support with starting and growing a business right through to transitioning into retirement. We are there to meet the needs of our customers. And we bring all of this together with a mobile-first experience on the MyAviva app, which is our single digital front door. As a result, more people will continue to choose Aviva and stay with us for longer because we commit their needs throughout their lives. And that is why we will grow sustainably and profitably whatever market challenges that we face. Turning now to our customer-centric strategy, which is the main focus for today update. We know that our strategy to be the go-to customer brand for insurance wealth return is the right one for Aviva. And because it’s delivering results, you shouldn’t be surprised that it remains unchanged. We are laser focused on our execution through our four strategic priorities: growth, customer, efficiency, and sustainability. And we are doing so at pace. Individually, they are all important, but collectively, they power our strong momentum. Shifting our earnings mix towards capital light is a core element of our growth strategy. This is important because it allows us to deliver stronger growth, better returns with less capital. That is a highly attractive proposition for our shareholders and we are already making great progress here. Our portfolio is majority capital-light today. We will be approaching 70% capital light in just 2 years with our current plans. With DLG, we will be able to go further as we unlock the synergies from this transaction. And we see no shortage of growth opportunities in all our markets. There is £1.8 trillion worth of assets in U.K. Wealth growing at double-digits. Insurance markets are expanding with a total of £130 billion of premiums across the U.K., Canada and Ireland. And we can now tap into over £200 billion of premiums in our Global Corporate & Specialty business. Importantly, there are clear structural trends underpinning all of this from greater investment in the U.K. economy to grow in populations in Canada and Ireland. Now it’s one thing to see the opportunity of growth and another to capitalize on it. So let me give you two examples of how we’re doing just that. In U.K. General Insurance, we’ve agreed a new partnership with Nationwide for home insurance. And following completion of the proposed acquisition of DLG, we will be able to further accelerate into the Retail segment. In Canada, we launched four new damage repair centers, continuing to transform our claims capabilities with supply chain in-sourcing. And we are seeing benefit in distribution income from Optiom, a leading provider of vehicle replacement insurance that we acquired last year. In Global Corporate & Specialty, the acquisition of Probitas gave us access to the live market. We are now a top dual platform player in the U.K. And in the last 6 months, we have launched 7 new lines of business and delivered numerous large client wins. In Protection, we are progressing with the integration of AIG at pace with new business now on Aviva’s platform. And finally, in wealth, we have a huge opportunity with our comprehensive offering. To better meet customer needs, we are connecting our propositions across workplace, advice, succession wealth and direct wealth. This has helped us to recapture over £1 billion of outflows from heritage into IWR. We also captured 65% of workplace flows into Aviva Investors. And we are bringing private markets to retail investors with our new venture and growth capital, long-term assets fund. So as you’ve heard, we’re already the number one U.K. Wealth player with almost £200 billion of assets. That number has grown by £85 billion since 2020, which is a real indicator of just how far we can take this business. Now customer is the glue that holds our model together. We have the largest customer franchise of any U.K. insurer with 17 million customers. And with DLG, this is likely to exceed £20 million, creating a leading franchise in U.K. financial services. So we have valued customers, but we’re also deepening our relationship with them. We have now established a single view of all U.K. customer data. We’ve been unlocking marketing permission, and we can now directly speak to almost 9 million of them. And we hit 7 million registered MyAviva users just a few weeks ago. And what we’re doing here is achieving results. Today, more than 40% of our new sales are to existing customers. These multi policyholders are better protected and more engaged. They stay with us for longer and they buy more for us. So it’s a win-win for our customers and Aviva and of course, ultimately for our shareholders. And the story is just as powerful for large corporates, where over one-third of our clients have products across multiple Aviva business lines. Our customer base gives us a huge advantage. In fact, everything that we have delivered is down to our customer-centric strategy and the investments that we’ve been making here. But there is still a lot more to go after. We’re making progress on the priorities that we set at the customer in focus sessions. We’ve grown our customer base, welcoming 1.3 million net new customers in the last 12 months alone. We’re serving more of the needs. We now have 5.4 million individual customers in the U.K. with two or more policies. That is the highest that it’s ever been. And we’re delivering an even more engaging mobile experience with our MyAviva app, where the online experience score is now about 70%, which is up 15 percentage points compared to the old app. Our approach to efficiency is critical for translating our growth into improved profitability. It also provides the best possible customer experience. Here, we are transforming our operations through automation and through the strategic partnerships. We’re also simplifying our IT architecture. We’ve reduced our applications in the U.K. by half. And artificial intelligence is another crucial enabler. Now we’ve been using traditional AI and machine learning for almost a decade. So it’s not new to us, but we do have a big opportunity with generative AI. So I’d like to cover that in a bit more detail. We know that generative AI has a potential to deliver efficiencies right across the industry. And with the size of our customer base, we have a bigger opportunity than most to drive benefits from GenAI for our customers. So we’re rolling out co-pilot technology to give our workforce even more time to focus on what matters most, which is solving our customers’ financial problems. We’re also developing use cases like claims summarization. So now instead of putting customers on hold, our agents can immediately view relevant information and suggest appropriate next steps. This is already used by 40% of our motor claims agents, and it reduces core handling time and improve customer experience. And we are going even further, we will be embedding GenAI on calls to support agents in real time, including with call wrap activity. This is just one of many examples, and we have had similar success in medical underwriting in our health business. Importantly, we were able to test and learn at speed through our in-house GenAI platform called Oasis. And with over 150 use cases in the pipeline, including more transformative ones, there is incredible potential for much more. As an insurer and a long-term investor, sustainability and climate change clearly affects both our customers and Aviva. Be in no doubt, recent storms in the U.K., wildfires in Canada, serve as a reminder of the reality that we face and that we have to manage. Today, we are publishing the second iteration of our climate transition plan, which you can find on the website. This reinforces our ambitions and translates them into tangible actions. And recognizing the importance of social action, we’ve invested over £11 billion in U.K. real estate and infrastructure since 2020, supporting job creation in our local communicate. So, now moving to a slide that is really important and worth dwelling on just for a moment, our performance track record. Over the last 4.5 years, we have grown year-on-year. And by operating more efficiently, we’re creating greater profitability and cash generation. And we’re building on this momentum by investing in the business and unlocking further opportunities with targeted M&A. All of this gives me real confidence in our ability to further accelerate performance and deliver on our targets. And finally, I’d just like to reinforce our commitment to deliver superior returns to shareholders. As you can see, our track record here is rock solid. Since 2020, we’ve returned £10 billion in capital and dividends to shareholders. That’s around 75% of our current market cap and a very attractive yield for our shareholders. And the DLG acquisition will allow us to grow our dividend and unlock greater capacity for shareholder distribution. So to conclude, I want to leave you with a few takeaways. Aviva is a very different business to the one that I inherited. We are now in a unique position as the U.K.’s leading diversified insurer with fantastic businesses in Canada and Ireland. We have achieved a huge amount, but we are far from being done. We know that there is so much more to go after. And I personally remain laser focused on accelerating capital-light growth and locking our customer advantage and delivering for our shareholders. We are stronger, we are bolder and we are executing on our strategy. Myself, Charlotte and the rest of the team are really excited for the next phase of growth. Thank you for listening. I’m sure you have lots of questions, and I know you all have a very busy day. So let’s get on to the Q&A.
Operator: Thank you, Amanda and Charlotte. [Operator Instructions] But first, if we could go to Andy.
Andrew Hughes: Thank you very much. Excuse me. Two for me then, I guess. So in U.K. P&C, just if we can get an update on what you’re seeing at the moment, inflation sounds like it might be that persistent do you think you’re seeing good market discipline in what you’re seeing in pricing in U.K. P&C at the moment? And second was just 2025 group earnings target, I think there was something in the Direct Line scheme document. If you can give any color in terms of maybe even just how that was calculated, how we should think about that, because it looks like it’s probably a bit below market expectations very much where you’ve just done for 2024. So, just any color on that? Thanks.
Amanda Blanc: Okay. So I’ll pick up the first one and Charlotte can pick up the second one. So I think you have to put personal lines pricing, which I think Andy is probably what you were referring to when you’re talking about U.K. into the context of a market that we’ve been in. And I think what Jason, Norman and the team have done is they’ve delivered really very, very strong growth, what is the top of the market in terms of the rating environment. So there to be, I think, really congratulated for that. We did start to see the market soften through Q4. I think if you look at the external data, it suggested that new business market pricing was down about 16%, we have lowered new business rates by about 10% in 2024. And our average – and this is on motor, our average renewal rate higher, but obviously, that comes down as those new business rates decrease. I think the important point I really want to stress though here is that we are have got very, very good rate adequacy. And also, we will be very disciplined about how we play the market and depending on what we see in the market. But I think we are seeing – we’re not seeing outrageous behavior. We see in the market performing sensibly. In terms of home, home is lagging motor. I think the market began to soften in Q4 by about 1% a month, which was a contract on the hardening that we saw in Q1 of last year. And in the Home book, again, we continue to remain disciplined, and we’re still – we’re getting good rating through there, which is pricing ahead of claims inflation. So hopefully, that answers the question. And I think it is just really key, it’s such a dynamic market. We are just constantly monitoring it and making sure that we’re responding to the trends that we’re seeing. And then on op profit, look, we set our £2 billion 2026 of profit target only this time last year. As you say, we referenced a profit forecast in the scheme document for the transaction that went out earlier in the month. It’s a technicality of the takeover code that we needed to release profit forecast as we’d already given the £2 billion in the $2.7 billion back in December. So the ‘25 forecast was very much on the same basis as the ‘26 forecast. And in order to put numbers in these documents, they have to go through a stringent review by reporting accountants similar to that carried out on the synergy numbers for the QFBS exercise. So I think that’s the context of it. I think as we look at our operating profit and would suggest you think about it. We’re making great progress. Profits of £1.767 billion in 2024, up 20%. And I think we’ve outlined a lot of opportunities to drive that growth and why we’re confident in the ‘26 targets. I think there is a couple of things you just do need to remember. There is a step down in the corporate center costs driven by the completion of some of the strategic programs. And so if I look purely at the business unit growth, operating profit growth, that was 12%. And I think very importantly, think about just how profitable the U.K. GI profit has been 66% growth. And again, with the rate and everything that the managers covered, not necessarily likely to repeat. However, we remain really strong and confident. So I think that’s the sort of context of that number. Our focus is hitting the £2 billion.
Operator: Yes, we have got Abid.
Abid Hussain: Good morning. It’s Abid Hussain from Panmure Liberum. So I’ll stick with two questions. The first one is on policies per customer. I think you are tracking the number at somewhere around one and a bit across the U.K. I know there is a contingent with two or more. But I was just wondering, across the group now that you have the increased customer connectivity, are you – do you think you can nudge that number up higher across the U.K. That’s the first question. And then the second one, I am not sure if you can answer, but it’s some of the capital synergies from the deal, what are the potential different sources of capital synergies? And what’s the rough timeline, because you said they will be harvested over time, so just sort of trying to get a sense of that timeline? Thank you.
Amanda Blanc: Okay. Charlotte will take the second one. I’ll take the first one. So we only did the customer on focus special. I think it was October and November. And I think it – I think we showed there what we have delivered so far. And I think that 40% of new sales to existing customers and multi-product holding customers are actually at 564,000 over last year. So that is a really strong performance, I think, in the business. The business is laser focused on just how we do this in the most appropriate way for the customer. So, identifying when those customers might need something and then using the data that we have using the marketing permissions, using the technology, the very sophisticated marketing technology, which Sheryl talked about in October to just build on that. And I think, honestly, the best is yet to come here. And we’re not going to set a new target today, obviously. But we are very excited about what DRG brings in that respect and that we’ll get more customers from that. And I think just the growth in workplace, that’s a real engine of growth, too. We’re bringing all of these things together I think we feel very, very confident about doing that. And of course, this is not just for the sake of it. This is because those loyal customers they stay with us for longer. They are more profitable. But Owen gave me a stat the other day, which I thought was interesting, which is for the price comparison website we can identify if a customer is an Aviva customer, and we can offer them the benefit of a better rate, even if the – even – because we don’t need market information to be able to do that, and that will take about 13 million customers. So this is the benefit of the data, the digital experience that we have and just the sophistication of marketing approach. So there is more to come.
Charlotte Jones: And then on capital synergies coming from DLG, I mean, we can’t say anything more than we said back in December, but just to kind of go through it quickly again. When we bring – we’re focused on getting the transaction to completion, which, as I said, is expected to be midway through the year. When we bring the two balance sheets together, we would still expect to be at the top of our working 160, 180 range. So that’s then making no allowance for the benefits that you’re talking about. Over time, though, if you take the DLG stand-alone £1.1 billion SCR that they have today, you get two levels of diversification. One, as it combines with the rest of the U.K. GI business, and you’ve got the additional retail, which and direct – sorry, personal lines business, combining with the commercial line. So that’s one level. And then secondly, when we look at the group level and it diversifies with the group. So in order to get those unlocks. Ultimately, we’ll require a whole series of regulatory approvals. We might be able to explore internal reinsurance. And then in the end, the Part VII will sweep up everything else. So the timeframe is probably sort of 18 months through to – from completion through to when we get the Part VII, which will be when everything will wrap up. And then to remember, of course, the business that we are acquiring is cash and capital generative from day 1. So it will already be starting to add. Thank you.
Operator: Just ask a follow-up, Nasib Ahmed from UBS has sent in related to the DRG transaction, which is just an update on progress – and then a further question on when a further update can be provided and then we’ll come to Dom.
Amanda Blanc: So in terms of progress, I think what we can say is that we are clearly working hard on the regulatory approvals, whether that’s the FDA, the PRA and the CMA. We are making really good progress on that. We’ve set up the integration office. And so that is making sure that we will be ready on day 1 and in terms of timeline, as Charlotte said in her presentation, we are hoping that this will be completed by the middle of the year. And we will come back to you when we have more information. I don’t think there is a whole load more that we can say at this point as much as we would like to. But we just don’t have that information yet.
Operator: Dom?
Dominic O’Mahony: It’s Dominic O’Mahony, BNP Paribas Exane. I will also stick to two as instructed. So firstly, just on IWR and the BPA side, clearly, a lot of volume with not too much strain and very attractive IRRs. Could you help us understand whether the Gilt oriented strategy is a new normal? Is this play through of the shift to capital-light for the whole business or is it more a reflection of the trading environment that if spreads were wider, you would have taken more credit risk and to have a sort of a more normal profile? And then secondly, just on Canada and trading, I wonder if you could just give us a little bit of an outlook on what you are seeing in the rates filing environment what the reinsurance cost is going to look like given obviously the events that you described in ‘24? And what that means for the fit performance into ‘25 and beyond? Thank you.
Amanda Blanc: Okay. Charlotte, shall you do the first one and I will do the second one?
Charlotte Jones: Yes. So, look, it was a great performance by the team. And when we look at BPA business, we look at the capital strain, we look at IRRs and then the volume itself is kind of the outcome. So, it was indeed down to the asset mix of the capital strain and therefore, that contributed to sort of the mid-teen IRRs that I mentioned earlier. The asset mix from a GI perspective was about 18%. The previous year was about 11%. But if you add the sort of high-quality sovereigns as well, then that brings it up to almost a quarter where it has been sort of 12% the previous year. I mean ultimately, it was a market phenomenon. It was just the relative spreads. And of course, we continued with the private assets originations. So, there was £3.5 billion of private assets originated and there is a little bit of equity release as well. So, there is a good asset mix. It is less towards the illiquid than it has been. And as we go forward, we would look at potential re-risking, but it will depend on the spread movements and it will depend on our appetite for different asset categories. So, it’s very much driven by the market.
Amanda Blanc: On Canada, I think the team have done a really great job over the last targets. I mean if you just think about the scale of those cat claims. And as Charlotte said, the underlying performance has been – has improved. In terms of what we are seeing on inflation in Canada, sort of mid-single digits, 5% to 6% across all lines, actually, whether that’s motor, home or commercial lines. And in 2024, we put about 9% rate into the auto book, about 11% into property and about 4% into commercial lines. And then the outlook for rates for the team put in this year is around 8% on auto and around 9% on home. Does that answer your question, on reinsurance, that was renewed in January, Charlotte…
Charlotte Jones: Yes. So, the reinsurance program followed, it’s very consistent with last year. I think there was sort of a page in the back that covers it. But we have got long-standing relationships with our reinsurance partners. So, as we are going to market with that, yes, the factoring in or losses across the group, but it’s very much a group buying power. So, we are very comfortable with what we were able to do.
Operator: Will come to William in just a moment. Questions in from Farooq Hanif from JPMorgan, what are your plans of Probitas in terms of first recapturing third-party reinsurer business, and secondly, growth in global and corporate outlook more generally?
Amanda Blanc: Okay. So, I will pick up the growth and Charlotte…
Charlotte Jones: What was the second question, I missed it.
Amanda Blanc: The second was about growth versus about recapturing the capital. So, I will do the growth first. So, I mean obviously, it’s incredibly exciting. The Probitas deal, which was completed last August. I mean the fact that we have already been able to launch seven new products and I get regular feedback from the team saying, we have won this new piece of business, we wouldn’t have won it before. And some of those wins are significant. So, we are pretty excited about this distribution opportunity that’s opened up to us. We are not going to give a growth target. I mean I think we are not going to give a line-by-line target. You wouldn’t expect us to do that. But what you would expect us to do is to respond to the market conditions where we see opportunities to write profitable business just as in any other part of the business, and that is what we will do. But we are definitely benefited from the dual stamp, the fact that the teams are sitting side-by-side. They are able to write various lines of business. We are benefited from that and we see there being even more opportunities to come there. So, I don’t think too much more to say on that.
Operator: And the first part was on plans for recapturing third-party capital.
Amanda Blanc: Okay. So, yes, so the plan is to bring that together as we go forward, probably mostly 2026.
Operator: Go ahead William.
William Hawkins: Alright. Thank you. I am William Hawkins from KBW. Can you help me, what should investment variances be in a normal year? And can you help me understand the big negative that occurred in life. And I am sure there is a feeling that it’s accounting noise, but it is a big number, and it does drag the equity growth. So, I am just trying to get comfortable with the driver of that, please? And then secondly, in the UK claims ratio, that 60% figure, do you have a feeling for how much is settlement and litigation costs, so frictional things that are not the just straight claim payment to the customer? And I just want to get a sense for where you see opportunities for improvement in that metric, both standalone and as the market changes. So, I am kind of getting a sense there for improvement opportunities beyond just straight rate changes.
Amanda Blanc: Okay. So, I will pick up the second one. I will do that first while Charlotte, I am sure it gets the report on probably Page 150 or something like that. So, on the UK claims ratio, we have done a huge amounts of work on this in the last number of years, really focusing on the indemnity spend and how we make sure that we take all the fiction out of the process. So, the way as efficient as we possibly can be. So, I am not going to break down the settlement versus litigation costs. But the fact that we own our own garages and a lot of our claims go through that garage network means that we are in control of the claim from very early on and the same – we are applying the same to Canada now. It means that we have got much more control over the claims indemnity spend from a very early stage. It doesn’t get into the hands of third-party. So, it means we are able to manage the claims cost. And I think what you are seeing in the performance of the personal lines business, is very smart pricing from the pricing team, but also very, very good claims handling from the claims team. And the combination of both of those two things is what’s being reflected here in the combined operating ratio that you are seeing in the personal lines business, which I mean, is really improving. And we think that, there is still more to go there, for sure. We have done a lot of work, but we also have the opportunity clearly to take that into the acquisition with Direct Line Group. So, we know what works, we know what doesn’t. And just to give you an idea of the generative AI, the claims summarization that I was talking about there, that is actually saving 10% of time on a claims call, just that small change, which is being able to show to the claims handler immediately, the likely thing that a customer is being called about instead of loads of black and green screens with loads of notes from all the different conversations that have been had, very nice tiles which basically say this is what has happened. This is what the customers like you to be speaking about. And imagine then we build in core app [ph] benefits. You are talking about taking significant times of claims cost. So, productivity savings are going to be good. And that would then can be applied to debt business and choices business. So, we are learning all the time on that. Charlotte, do you have the answer?
Charlotte Jones: Yes, excellent. Go for it. So, look, I think we have said it before and we will say it many times. We run the business on Solvency II basis. That, what that does is that determines the hedging strategy and it reduces the volatility in sort of economic and market fluctuations. And therefore, the capital ratio that is how we drive the cash and our ability to pay dividends. But by doing that, we are introducing volatility into our IFRS earnings, because we have got fair value assets which are held for the long-term, backed by liabilities. And you are getting differences in the way they are moving from a fair value basis going through the P&L. And so what you are seeing this year is we saw rates going up, and that is driving an adverse impact on the fair value of some of those assets. And we just have to accept an element of that volatility. And clearly, it’s really important that we have got all the retained earnings fully there. And as time goes on, make sure that’s there. And this is well in excess of £10 billion of retained earnings on an IFRS basis. So, there is not an issue. We would expect it to be relatively neutral, but it will vary if we get broad movements in interest rates.
Operator: So, two questions from Andrew Crean from Autonomous. What was the strain on BPAs in 2024 as a percentage of sales? And what do you expect in 2025? And the second question is, have you got a California wildfire loss through Probitas?
Amanda Blanc: Okay. I will pick up the second one. Charlotte, do you want to pick up the first one?
Charlotte Jones: Yes. So, on the L.A. wildfire, very minimal exposure, single-digit millions.
Amanda Blanc: Yes. So, the strain that we gave, and I think it came to one of the original focus sessions was around 3% to 4%. We were under that – under the low end of that. And that was really driven by the asset mix that we discussed before, being a high proportion of gilts and high-quality sovereigns and lower corporate bonds. And over the medium-term, as I have said, it’s very much driven by the market. So, we would sort of still encourage you to be guided more to the 3% to 4%. But if the mix of assets stays towards the gilt and the high-quality sovereigns because the rates suggest we should do, then that’s where we will be.
Operator: And two questions from Rhea Shah from Deutsche Bank. The first, UK personal lines, have you put through the Ogden impact into earnings? If you did, what was the impact? And have you also put it through into pricing? And then second, IWR within operating profit, operating assumption changes and experience varies on the whole were a touch softer than perhaps expected. How should we think about these into 2025 across the different IWR lines of business?
Amanda Blanc: Yes. So, look, on Ogden that came out beginning of December, and we reflected that. And I think actually, we discussed it on the 23rd of December, that we – the overall effect of that was to reduce reserves by about £40 million. And the effect of that is either you are seeing higher rate could lead to more claims being settled as PPOs. We could get some offsetting reduction in lump sum settlements. So, there is a bunch of things like that that we factored into how we took the number. And then I think in terms of its impact on pricing, this was quite well trailed and expected, the move from minus 0.25 to plus 0.5 was kind of well trailed than expected. So, I think really a lot of the sort of pricing impacts were already there. And then the second question was around assumption changes. And yes, it was a much lower assumption change period this year. Last – the ‘23 year has significantly higher longevity release, which didn’t repeat. And so we moved to the CMI ‘23 tables. There was an element of small adjustment as a result of that. What we also saw was some of the other assumption changes were going in the opposite direction. And so it was relatively neutral. When you look at the overall management actions, though they are still close to the range of the £200 million, which is where I would continue to guide you to certainly from a solvency perspective. And I think what this tells you and is that the management actions that we take, working the balance sheet working through situations that can give us risk reduction and real capital release are things that we do. And therefore, you are not – it’s not all about longevity in order to drive management actions.
Operator: Larissa?
Larissa van Deventer: Only one from me, on the reinsurance attachment points, both in the UK and in Canada after the 1/1 renewals, please, have those remained unchanged, or have you increased them?
Charlotte Jones: Yes. So, they are the same. There is a table in the back. I think most of the change in the program really relates to the size and scale of the book. So, we saw a little bit of an increase in Ireland, a little bit in the rest of the world. But the main program, UK, it’s 200, it’s stay the same Canada, $125, no change. There is a little bit of increase in the rest of the world, predominantly because of the GCS expansion. So, really very consistent and just consistent with the risk profile to no change.
Operator: It’s Tom and then finish with Andrew.
Thomas Bateman: Hi. Good morning. Thomas Bateman from Mediobanca, I really hate to see the large direct investments that you initiated in-house. Could you just give a little bit of color on the Solvency II reforms and what assets have you been able to put into the matching adjustment that you wouldn’t have some precise or tangible details there would be really helpful. And then just the second one on premium finance, could you just give us some color on how many customers actually defaulted on premium finance, what’s the administrative costs for Aviva to offer this option. And just remind us again what the approach in Canada is as well between customers paying upfront and paying monthly installments? Thank you.
Amanda Blanc: Okay. Do you want to pick up the Solvency II one, Charlotte?
Charlotte Jones: I don’t know that we have got a breakdown by assets that we will put in that we weren’t putting in before. I think we have always used the matching adjustment very well. We have a good relationship with the regulator in terms of the assets that go into that. I mean we are big investors in UK infrastructure, in renewable, in private hospitals, in housing. So, I think that we are in pretty good shape with that. So, I don’t think we are going to break that out any further than that.
Amanda Blanc: I mean the only thing to say is we have the PRA has introduced or will introduce a sandbox where assets can be taken, and we are having those engaged conversations. But I think it’s much more forward-looking. And what’s been really important has been to get the matching adjustment impacts through for the sub-investment grade caps and for the notching on credit spreads, and to sort of work through the adjustments that we needed for fundamental spread. I think I have walked you through those at the half year, and they were about 4 points, which means that the whole benefit of Solvency UK reform has been about 10 points in overall form And we are kind of getting ready for the first formal date to station. So, kind of all of that is positive and good and behind us. And now we are working with the regulator on examples as they explore sandboxes and improve the period by which it takes to approve new asset classes for matching adjustment. So, I think it’s all very positive and encouraging, but I haven’t got a long list to give you today. And on premium finance, so first of all, I think that we are very confident that our APRs are fair and proportionate. And they do compare favorably with our peer group. We regularly review them. Obviously, we always did. And our average APR is 15%. I just put that into some sort of context, it’s about £2.92 per month for somebody on an average motor policy. So, we think that it’s really important that people are given the option of being able to pay their premium monthly. And so that’s the numbers I think and I would have to be clear. I think 40% of people take premium finance, 60% don’t or caution roughly right. So, those are the numbers.
Operator: Andrew?
Andrew Baker: Hi. Thank you. Andrew Baker, Goldman Sachs. So, just one for me, please. Do you expect any impact from the UK DB surplus reforms on the UK bulk annuity market as a whole? Thank you.
Amanda Blanc: On DB, the surplus.
Andrew Baker: Yes. The surplus…
Amanda Blanc: Yes. So, look, I think it’s too soon to tell yet because we don’t really have any detail of what that could mean. I mean I think the way that we think about this is, if you are a finance director, what do you want to do, don’t be worried about your pension scheme or you want for somebody else to worry about that. And we do think that many will look to still put the schemes into buyout. But I think we are yet to see the details. So, there is not a lot more to say. All I will say is that Dave is not bought. There is plenty to do in bulk. The pipeline is strong. And you know you have seen that the performance has been strong in 2024, so – and benefit of a diversified business. We have got plenty of other lines of business as well, so no more to say than that. Okay. So, I think with that, I am really conscious that you have got about 150 other people reporting today. So, thank you very much for all your questions. If you have got any follow-up with the IR team, then please do. Obviously, we are very proud of the results that we have presented to you today. And we are very committed to continuing to deliver for our customers, for our colleagues and our shareholders. So, thank you very much.